Operator: Welcome to the Tsakos Energy Navigation conference call on the third quarter 2013 financial results. We have with us Mr. John Stavropoulos, Chairman; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. (Operator Instructions) And I now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relation Adviser of Tsakos Energy Navigation. Please go ahead Sir?
Nicolas Bornozis: Thank you, very much, and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relation Advisor for Tsakos Energy Navigation. The company released its financial results for the third quarter and the nine month period of 2013, this morning. The press release has been distributed publicly, and in case you do not have a copy of it, please call us at 212-661-7566 or email us at ten@capitallink.com and we will email a copy to you either way. Parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website at the front page at www.tenn.gr. The conference call will follow the presentation slides, so we urge you to access the presentation and webcast. Please note that the slides and webcast will also be available at an archive on the company's website after the conference call. Also please note that the slides of the webcast presentation are user controlled, so by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements, within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements, involve risks and uncertainties, which may affect TEN's business prospects and result of operations. Such risks are more fully disclosed in TEN's filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to turn the call over to Mr. John Stavropoulos, the Chairman of Tsakos Energy Navigation. Mr. Stavropoulos, please go ahead, sir?
John Stavropoulos: Nicolas, thank you very much. Nikolas Tsakos and his team have navigated TEN through very stormy seas for four very long years. I now share their view, that it is a good turn to explore fleet renewal via accretive opportunities. The addition of very long-term charters for the two shuttle tankers have provided significant cash flow visibility, which will assist in these new initiatives. The market for crude carriers is hinting at a less dim light at the end of the tunnel. Very importantly, the prospects for the Asian economies have improved and the overall outlook suggests that 2014 will bring big smiles. Keep up the good work Nick. I'd like to add a special prayer next Thursday at the thanksgiving for all. Thank you.
Nikolas Tsakos: Thank you, Chairman, and the welcome all on our third quarter results. We are glad to announce a much better environment and much better results than the last two years. I mean as for those of who you have been our shareholders for a long time, you remember that our company who has been public for 20 years has had the 17 consecutive years of profitability, and then including this year, hopefully we would breakeven two years of losses. We are very happy to see that the losses now are diminishing and we're getting very close to breakeven. The general environment both for products, LNG, gas carriers, also for the crude sector, which is a significant part of our business seems to be much more positive than in 2011 and 2012. So we hope that we will be back to profitability soon. In the meantime, we're taking more of the actions to renew accretively our fleet and at the same time move into new energy-related businesses that command much better returns. And with this in mind, I would ask George Saroglou, to give us the details of the last nine months and basically this quarter. And then, our CFO, Mr. Paul Durham, will take us through the numbers, and we will all be very glad to answer any questions that you may have. Thank you very much.
George Saroglou: Thank you, Nikolas. It is my pleasure to speak with all of you today and provide you with details of the operation of another quarter. For those of you who are connected to the Internet, in our website, there is an online slide presentation, and we are going to follow that format of this presentation during the call. Let's turn to Slide number 3, where we see the current fleet, which consist of 28 product tankers, all of them in the water, producing for TEN. This is one of the largest product fleets in the water operating today, in product tanker market environment that continues to improve. The company has also has 19 crude carriers, where we have seen rate improvements from the second quarter of 2013. And this has continued into the seasonally strong fourth quarter, where we all have seen rates for VLCCs currently at over $55,000 per day. The company has also two LNG vessels, including one in the water and one on order. The next slide gives us some market highlights. The global economy continues to show signs of recovery, still on a modest scale, which when coupled with higher than anticipated power sector use in some regions, raise the overall global oil demand forecast to roughly 91 million barrels per day for 2013. That's 1 million barrels per day more than the previous year or 1.1% growth. This strength of growth is forecasted to continue in 2014 with demand expected at 92.1 million barrels per day or 1.2% growth over the 2013 demand numbers. On the supply, the order book, especially for crude tankers is low by historical average annual newbuilding order numbers. Most of the orders this year have been on product tankers, MRs and LR2. The tanker order book is now a little over 10% of the existing fleet, down from almost 40% and a bit higher back in 2008. This will result in modest global fleet growth in 2014. Looking at the corporate highlights in the next slide. You are going to see that TEN successfully completed the project for the DP2 shuttle tankers by ordering, building and taking delivery on time of two very high specification vessels that passed all charter SC trials and approvals and begun in May and June of 2013, their 15-year time charter to Petrobras. The third quarter was the first quarter of full operation for both vessels, which impacted very positively to the overall financial results. The company's pro forma fleet of 49 vessels include 48 vessels in operation and one tri-fuel LNG vessel under construction. The company managed to change the size of the vessel from 162 to 174 and move the delivery scheduled from the third quarter of 2015 to the third quarter of 2016. The company also has an option for one more LNG vessel sister, vessel to the third model to be declared during the first quarter of 2014. The fleet is 100% double hull, very modern, 6.8 years of the average age, 21 tankers have ice-class capabilities and 32 vessels out of the 49 vessel pro forma fleet have term employments that range from one to 15 years. One of our 1A ice-class vessels, the LR2 Propontis performed the northern route sea passage during the summer months, taking a cargo of naphtha from Northern Europe to Japan, and a gas load cargo back to Europe on its return leg. Thanks to our time charter philosophy, we continue to operate the fleet at a very high utilization rate. 91.8% for the nine months of 2013, when the average for the tanker rate industry is around 85%. The following slide gives us the main highlights of the press release. 135% increase in operating income for the nine months, significant improvement in both the third quarter 2013 and nine months of 2013 net results. We have maintained a strong balance sheet and cash results. And we raised $100 million in two preferred offerings in May and the end of September 2013, which strengthened and enhance the company's growth profit. We have made new charters for 11 vessels in January 1, 2013, with minimum revenues of approximately $135 million and we celebrate the 20 years in the capital markets. The next slide shows the corporate fleet, as it stands right now. The main focus is in three market sectors, conventional tankers, which covers both crude and product tankers, LNG and shuttle tankers. Of the four markets, LNG and offshore shuttle tankers are potential growth areas for TEN due to the growth prospects, favorable supply, demand fundamentals and barriers to entry. Within conventional tankers, TEN operates both crude and product tankers. We have one of the largest and most modern product tanker fleets in the water. Right now, we're just taking advantage of an environment that keeps on getting better. We have 21 ice-class tankers to take advantage of ice-class premium, when they trade during the winter months. We have the first two Greek flag shuttle tankers, which are on 15-year time charter for Petrobras, and one LNG in the water, and one tri-fuel LNG under construction plus one option. Since 1997, the fleet was built exclusively with newbuilding orders in Korea and Japan. The next slide, Slide number 8, shows the clients of TEN, with whom the company is doing repeat business over the year. Thanks to the quality of service, fleet modernity and safety record of the enterprise fleet. In the same table, beside the names, we also list the top seven clients of TEN and sharing their revenue of the company during 2012. Slide 9, is the employment slide. We continue to have a balanced employment strategy, having a mix of spot charters, CoAs, and pooling arrangements and new charters with fixed rates and minimum rates with profit-sharing arrangements. Looking at the product fleet, out of 21 vessels, 21 operating time charters with fixed and profit sharing arrangements and seven vessels trade in the spot market. Out of the 21 vessels with fixed employment, five have profit sharing arrangement. If one add, the seven spot-trading vessels, you have 12 product tankers that already take advantage of an improving product tanker freight rate environment. Over the 19 crude tankers that we have, 10 have fixed employment and nine vessels trade in the spot market, mainly the seven Princes series aframaxes and two suezmax tankers. Out of the 19 crude tankers, four operate in fixed time charters and 15 in a combination of profit-sharing time charters, market-related CoAs, spot voyages and pool arrangements. The slightest improvement in the spot market for aframax tankers, will link positively the bottomline. And we are beginning to see improvements in the crude markets, which we hope to be sustaining. Putting a dollar value in bareboat in the next slide, Slide 10, as of today, we had fixed 73% of the remaining available 2015 fleet operating days, 60% of the available 2014 fleet operating days, and 38% of the 2015 fleet operating days. Assuming only the minimum rate, TEN has secured 1,029 months of forward employment, of 2.7 years per vessel and $925 million in minimum gross revenues. The next slide has a track record in the sale and purchase activity since 2003, and as you can see its sale and purchase is and has been an integral part of our operation as the record shows and fleet modernity is a key element of the corporate strategy. That's why TEN through the year has managed to maintain a very modern fleet. Since the New York Stock Exchange listing, we have generated capital gains of approximately $280 million and the company reinvested this capital gains in renewal of the fleet by ordering the majority of its newbuilding tankers before newbuilding prices started to rise. Slide number 12, is the slide with a dividend distributions. The next dividend of $0.05 per share on the common shares will be paid on December 17. In total, since 2002, we had paid $9.73 in cash dividends or approximately $383 million and this compares with a listing price in our IPO of $7.50 adjusted for the November 2007 two for one split. We also had two series of preferred shares outstanding. On the Series B issued in May 2013, we announced and paid two dividends, one in July 30, of $0.44444 per share $0.50 per preferred share on October 30. On the Series C, which we issued on September 30, 2013, the first dividend is payable on January 30, 2014. That concludes the operational part of our presentation. Paul, will walk you through the financial highlights of the third quarter. Paul?
Paul Durham: Thank you, George. Well, as we mentioned TEN achieved the significant improvement in its Q3 results. With the net loss of just $1.4 million compared to the prior Q3 loss of $10.4 million. The loss per share was $0.4, that's negative. Excluding the impact of preferred dividends, which do not impact results, but are included in calculating earnings per share, the loss per share would have been just $0.02. For the nine months, the loss of only $1.9 million is incurred versus a $24.9 million loss in the first nine months of 2012. Operating income for Q3 was $9.7 million, against only $800,000 in Q3 2012. For the nine months, we achieved $28 million operating income compared to $11.9 million in the first nine months of 2012, mainly due to increases in revenue. Q3 revenue after commission and voyage expenses at nearly $74 million was 15% higher than in the previous Q3. While for the nine months, $215 million was achieved versus $202 million in the first nine months of 2012. Our two new shuttle tankers earned a full quarterly income potential for the first time in Q3 with $8.3 million in net revenue, while the LNG carrier provided another $7.2 million. Although our aframaxes were mainly on spot in a very core market, average rates achieved by our aframaxes actually improved 9% over the last year's Q3 daily rates for aframaxes. Our suezmax has earned less than average than in Q3 2012, but considerably better than market rates. The product carriers, several employed with market related rates achieved on average 6% higher rates than in Q3 2012. Despite 8% cheaper fuel and the Q4 2012 sale of two VLCCs, voyage expenses were 19% higher in Q3 than in the prior Q3, due to three extra vessels we operated in the spot market. For the nine months all the vessels had positive EBITDA, which totaled to $103 million compared to $88 million in the first nine months of 2012. The third quarter generated $35 million EBITDA compared to $26 million in last year's Q3. Operating expenses were $32.8 million compared to $33.1 million at Q3 2012, a 1% reduction. Similarly, average daily OpEx per vessel fell from the previous Q3 by $180 to $7,483 per day. A 6% weakening of the dollar against the Euro put pressure on crew expenses, but expenditure on repairs, stores, and fares fell, due to their being only one dry-docking in Q3 compared to three in Q3 2012. Finance cost were $10.9 million versus $11.3 million in the prior Q3. Interest actually fell by $3 million, mainly due to expiry of swaps, but valuation movements on non-hedging swaps were mutual, while positive in Q3 2012. In Q3, we repaid $52 million of debt, including an expiring loan. The last vessel of which was refinanced with debt of $18 million at very good terms. At this year of September, total outstanding loans were $1.4 billion and net debt to capital 55%. Finally, we raised a further $50 million gross from a second preferred stock offering again with a positive affect on liquidity and leverage. And this concludes my comments, and now I'll hand the call back to Nikolas.
Nikolas Tsakos: Well, thank you very much. With your presentation on the figures, we would like to open the floor to anybody who would want to ask any questions. Thank you.
Operator: (Operator Instructions) From Credit Suisse, your first question comes from the line of Gregory Lewis.
Gregory Lewis - Credit Suisse: Nick, could you talk a little bit about the performance of the shuttle tankers in Brazil. I mean it sounds like they are earning good rate. Can you talk a little bit about how much they're being utilized by Petrobras? And to that point, if you are seeing or having conversations at this point with Petrobras about potential going back to the yards and maybe thinking about adding one or two newbuild shuttle tankers?
Nikolas Tsakos: I would like to roll this in private. We don't want our competition to be listening in, but then anyway. Joking apart, yes, we started this phase two years ago. As you know Petrobras is one of our largest client, and that's why we were all very happy that Greece qualified for the World Cup in Brazil. So at least, we can go and see our clients there.
Gregory Lewis - Credit Suisse: Am I invited?
Nikolas Tsakos: But joking apart, I think Petrobras is our largest client, they are increasing because their demand for dynamic position shuttle tankers. We are looking as we speak now at another opportunity that actually holds an existing vessel with some small modification for another 10 year charter. So the business is increasing there. We have had the experience with them for almost 30 years. So it's really business as usual for someone who has infrastructure, the office, the manpower to do it there. Many people go to Brazil being new and they tend to come out of Brazil bruised, but knocking on wood for us, it's something we are going to be expanding and we might be announcing in the next six months more Brazilian-related business.
Gregory Lewis - Credit Suisse: And then, when I think about, when I look at the Slide 16 that you provided for us, where we see that the order book as a percentage of the crude fleet is coming down. And then I try to match that up with your fleet. I believe you took that delivery of your last newbuilding in 2011. When we think about ordering vessels today and late 2013 and taking delivery of them in maybe '15 or '16, at a certain point, does it make sense for TEN to comeback -- to go back to the yards and then maybe order some additional more conventional tankers or should we be thinking more along the lines, that the focus is going to be more on higher spec vessels such as shuttle tankers, LNG or is the answer potential both?
Nikolas Tsakos: I think you are right, that we will be looking -- the time has come, as our Chairman mentioned, to look at the renewing our already new fleet. And our aim is to -- of course, our bread and butter comes from the conventional ships. We never said we would exit conventional tanker transportation. So yes, we are, I would say strongly looking at the renewing the fleet in attractive ways.
Gregory Lewis - Credit Suisse: And then just one last question from me on the broader markets. We have seen some nice strength in VLCC's recently. I think that really caught everyone by surprise. I realize you only have one VLCC at this point and it was recently fixed on a long-term contract, but could you talk a little bit about what drove that tightness in the market? And really when people talk about the market being over supplied, is it really as over supplied as people, as the overall market thinks and the only reason I asked that is just given the volatile move up we saw in VLCC rates more recently?
Nikolas Tsakos: I agree with you. The market as seen from on slide on Page 16 is getting more balanced. I think what really helps and I hope most of the owners who are in this segment and in every segment will continue to do, because it's a matter of survival, but has to do it with slow spinning. If the owners can keep, I think control for what is good for us as owners long-term. We will avoid bringing the order book back to its record levels. And at the same time we will avoid making the vessels have a higher speed. It is intriguing sometimes, when you say, okay, if I can do 14 knots or 15 knots, I can get twice $60,000 at the same period or 1,500 times, I can do more, but the problem is as you will not be the only one thinking about it, if all the competition thinks the same. The $60,000 will be back to $6,000 very soon. So I think it needs control in this fragmented industry. And I think the results, first of all, we see that that China increasing its imports has resulted to this and we hope it will last.
Operator: Now, from Stifel, you have a question from the line of Ben Nolan.
Ben Nolan: I have actually couple of questions. First of all, just for sort of record-keeping purposes, I know that you guys had the at the money equity offering that you announced in the quarter. Just curious to see where that stands in terms of how many shares have been issued and maybe what the current share count is as of today?
Stifel: I have actually couple of questions. First of all, just for sort of record-keeping purposes, I know that you guys had the at the money equity offering that you announced in the quarter. Just curious to see where that stands in terms of how many shares have been issued and maybe what the current share count is as of today?
Paul Durham: For the quarter, that ended September 30. the sale has been -- small sales around 280,000 shares.
Ben Nolan : And has there been any subsequent to the end of the quarter?
 Stifel: And has there been any subsequent to the end of the quarter?
Nikolas Tsakos: That has been periodically from time-to-time we revisit the market and we are today at about little over 900,000 shares.
Ben Nolan : And then, my second question sort of goes to along the lines of what Greg was asking. When you think about, maybe if you could high grade where you think the best opportunities are with respect to your capital spending, replacing the conventional fleet, be it crude or product. I mean is there a preference in that? How does that rank relative to say the offshore side and maybe exercising the option on the LNG vessel or is it just a matter of kind of doing all of them or looking to do all of them or is crude sort of the best, or is offshore the best, I don't know. Just how you're thinking about where the best opportunities lie?
 Stifel: And then, my second question sort of goes to along the lines of what Greg was asking. When you think about, maybe if you could high grade where you think the best opportunities are with respect to your capital spending, replacing the conventional fleet, be it crude or product. I mean is there a preference in that? How does that rank relative to say the offshore side and maybe exercising the option on the LNG vessel or is it just a matter of kind of doing all of them or looking to do all of them or is crude sort of the best, or is offshore the best, I don't know. Just how you're thinking about where the best opportunities lie?
Nikolas Tsakos: Well, as I think we try to put the company, we are a client-driven company, so of course when the universe aligns and then you can have a client who is also looking to expand it's participation in the business, which makes a lot of sense, then I think that makes us even better. So we are always looking at businesses with attached employment and with the profit sharing with our client. So I would say the most depressed market today is a crude market. And it's natural for us to be looking more in the crude market. However, we have clients who are actually in discussions with us to increase our products, and I mean we have avoided entering the market by ordering product carriers without employment. But you will be seeing as I think ordering additional products with accretive employments. The same goes with crude. And of course, LNG the figures are different. But we are taking conservative steps and we will be increasing our participation in the gas also. So I would say we're keeping all the balls in the air. Whatever the reason accretive transaction, it's a transaction that we will do. So you will not see TEN as it stands today ordering 10 VLCC newbuildings out of speculation, because this is not the [ph] current structure of the company. But if we have employment for TEN, VLCC newbuildings, very seriously we will consider doing it. So I don't know if this answers, but as I said, we are client driven. We like to continue our dividend payment and our growth in accretive transactions.
Ben Nolan - Stifel: And then my last question relates to something that I don't think you mentioned, but for several quarters now you've been talking about the prospects of taking a segment of the fleet and spinning it into or dropping it down in the form of an MLP. Could you maybe give us an update as to where that stands? Is that still something that you're considering pursuing or just maybe any update that you might have on that?
Nikolas Tsakos: This is very much into where we want to go from here. What we need actually is the bridge, because we have our existing fleet and then we have our LNGs future expansion that actually starts in 2016 and moves forward. And as you know, the usual process an MLP has, we need to bridge something between, I would say 2014 and 2016, when the project that will be the bridge, appears. And it's a project with at least five-year employment and more. That will be the time to have the existing fleet, the immediate bridge and the future growth. So we are always looking at it. And when the project is there, it will be a very accretive transaction for the current and the new shareholders.
Operator: Now, your next question from Morgan Stanley comes from the line of Fotis Giannakoulis.
Fotis Giannakoulis - Morgan Stanley: I want to ask also about the shipping cycle. Obviously, you expressed your preference on the shuttle tanker market and the opportunities there. But if you had to choose between the product tanker market and the crude tanker market, at which point of the cycle are we and where are going to be more opportunities? And you also pointed out the decline of the order book. We've seen that this decline is not balanced across different sectors. We have aframax fleet that is shrinking. We have the other larger vessels that they are still growing. Which asset classes do you think that they are better?
Nikolas Tsakos: As we have mentioned, we are a client-driven company. We need to renew our already modern fleet, but we have stayed I would say on the sidelines, when people are making for good or for bad headlines in ordering fleets and dozens of ships here and there, that unfortunately will bring our market down in the next couple of years. So we're using also people like yourselves and your teams, your statistics, we can see that the crude is the most imbalanced sector. I know that unfortunately very soon a lot of the investors may jump and turn it around, but it's natural for us to look in the crude sector. You know, that the aframaxes have been one of our core businesses, and looking at aframax, it's the workhorse. It's equivalent of what the panamax or kamsarmax is for the dry cargo side. We will be looking at these segments also.
Fotis Giannakoulis - Morgan Stanley: I understand that you are afraid a little bit of the market a couple of years from now, given that the capital that varies in this sector, except of the traditional shipping company. Do you think that the shipping cycles moving forward they are going to be shorter, where people will be ordering immediately ships, when they see the supply coming? And at what point, do you think that we should start worrying again about the order book?
Nikolas Tsakos: Well, I think, as I said, we are a fragmented industry, and we cannot put everybody's mind in line. We are in a democratic supply and demand environment. And I think the product market has been perhaps oversold as a future investment and that was mainly in 2012 and the beginning of 2013. The crude market is staying, right now, in the sidelines and we hope it will maintain staying in the sidelines. This gives us at least another three years of a positive market starting from '14, '15 and '16. If we will start building significantly, I believe after '17, we might again look at negative balance.
Fotis Giannakoulis - Morgan Stanley: I want to move to the product tanker market a little bit, especially the LR vessel that we have seen them for quite a while underperforming the smaller MR sizes. Do you think that there is any dynamics there, especially if crude tanker vessels aframaxes will start getting better?
Nikolas Tsakos: I think the LR, both 1 and 2s are segments of the market, for the last few quarters, its have been completely outshone, but there is smaller relatives, the $37,000 the $40,000 and the $53,000. And I have the feeling from what we hear from the oil companies that they are becoming more in demand as a refining capacity mainly in India comes more online.
Operator: Gentlemen, there appear to be no further questions at this time. So I shall pass the floor back to you for closing remarks.
Nikolas Tsakos: Well, thank you very much for your attention. We believe that by the time of the next quarter announcements, we will be in a better position. I understand that Paul feels satisfied with us reducing our or minimizing to zero losses, but our aim is to immediately come back to profitability and we're taking the actions to do so. In the meantime, because of the healthy balance sheet of our company, that as our Chairman said, have navigated almost five years now of a down sighting. We are looking at the future of also growing the company with accretive transactions. And we look to be in a position to talk to you about future growth very soon that will I think help all our shareholders, our share price and the balance sheet. And I will take this opportunity to wish everybody a very happy Thanksgiving, and talk to you soon. Thank you very much.
Operator: Many thanks, and to all of our speakers today, that does conclude our conference. Thank you for participating. You may now all disconnect. Thank you, gentlemen.